Operator: Good morning, and welcome to the Weingarten Realty Inc. First Quarter 2020 Earnings Call for May 8, 2020. My name is Brandon, and I’ll be your operator for today. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] Please note, this conference is being recorded.I’ll now turn it over to Michelle Wiggs. Michelle, you may begin.
Michelle Wiggs: Good morning, and welcome to our first quarter 2020 conference call. Joining me today is Drew Alexander, Johnny Hendrix, Steve Richter and Joe Shafer.As a reminder, certain statements made during the course of this call are forward-looking statements within the meaning of the Private Securities Litigation Reform Act. These statements are based on management’s current expectations and are subject to uncertainty and changes in circumstances. Actual results could differ materially from those projected in such forward-looking statements due to a variety of factors. More information about these factors is contained in the company’s SEC filings.Also, during this conference call, management may make reference to certain non-GAAP financial measures such as funds from operations or FFO, both core and NAREIT, which we believe help analysts and investors to better understand Weingarten’s operating results. Reconciliation to these non-GAAP financial measures is available in our supplemental information package located under the Investor Relations tab of our website.I will now turn the call over to Drew Alexander.
Andrew Alexander: Thank you, Michelle, and thanks to all of you for joining us on what has already been for many of you a long day of calls. We included as much information in our press release and disclosures as was reasonable to limit our prepared remarks and allow more time for questions.While others have said it, I want to stress, our first priority is the safety and well-being of our associates, tenants, stakeholders and the broader community during these challenging times.Let me also remind you of the forward-looking disclosure Michelle just mentioned. We had a great quarter, especially absent the adjustments made for collectibility issues related to the coronavirus that Steve will address shortly. But our focus is clearly on the future. Johnny will get into our efforts to connect with our tenants. But I can assure you that the company is engaged in tenant communications as we do everything we can to assist them in this difficult time.While we have challenges as we move forward, the multi-year transformation of our portfolio has certainly made the road ahead easier. Our transformation resulted in a higher percentage of grocery-anchored centers, a much improved tenant base, and most importantly, a stronger balance sheet with little near-term debt maturities.While the timing of the recovery is still uncertain, we’re confident that we will have more than adequate liquidity to weather the storm. However, out of caution, we are reducing our dividend to $0.18 per share for the first quarter. We anticipate distributing the $70 million of dividend we deferred from 2019, as we talked about in our press release.We will carefully monitor our cash flow and liquidity as we move into 2021 and further adjust the dividends as appropriate. All three of our large new developments remain active. There’s minimal additional investment if Centro and West Alex and D.C. and construction is ongoing at The Driscoll in Houston, where we expect occupancy and revenue in mid-summer.Given the small amount of capital required to complete and our strong liquidity position, we do not anticipate that the pandemic will interrupt these projects. We are reviewing the rental rates at each project, but it’s challenging to estimate rents and lease-up timing in this environment. These are good projects. And while there may be some short-term issues, longer-term, these are great properties. Steve?
Stephen Richter: Thanks, Drew. As Drew pointed out, we had a great quarter where it not for the impact of our collectibility assessments made at the very end of the quarter. Core FFO for the quarter ended March 31, 2020 was $0.44 per share, compared to $0.52 a share for the same quarter of the prior year.Included in the quarter is $9 million, or $0.07 per share related to the collectibility of receivables due to COVID-19. Included in the $9 million is $7 million of non-cash straight line rents.At quarter-end, we felt that there was going to be issues with many of our tenants and that changes to our collectibility assessment for warranty. Excluding this adjustment, same-property NOI would have been a strong 2.6% for the quarter. Reconciliations of net income to core FFO into same-property NOI are included in our press release.With respect to our balance sheet, we drew down $497 million under our credit facility during the quarter. Based on our current projections, we will have more than adequate liquidity after the payment of dividends and new development CapEx to comfortably sustain operations. I want to remind everyone that we have no material maturities through October of 2022.As previously announced, we have withdrawn our guidance for 2020. Johnny?
Johnny Hendrix: Thanks, Steve. First, I would like to express appreciation for those working on the frontlines of this fight against the coronavirus, doctors, nurses and those retail associates who’ve been risking illness to provide essential goods and services, while the rest of us try to stay safe. We appreciate all they’ve done for us.Late in the first quarter, when the realities of the pandemic became evident, the company took decisive action. We knew one-on-one communication with our retailers would be critical. We enlisted all our associates, property managers, leasing executives and accounting professionals as tenant liaisons assigned each tenant to a WRI team member.Bottom line, we’ve been in communication with virtually every tenant since late March. Our goal is to help our tenants get to the other side of this pandemic in a position not only to survive, but thrive in the month and years ahead. The overwhelming majority of the economic help has come in the way of short-term deferrals, such as partial month or two paid back over a short period of time.Let me be clear, we expect national and regional tenants to pay rent, especially those designated as essential. We’ve agreed to some sort of deferment for around 700 individual leases. That’s about $10 million that will be deferred over the next several months. It’s important to remember, most of these deferred rents will likely continue to be accrued under GAAP accounting.As of May 5, we’ve collected 64% of the rent bill to tenants in April. This is cash collected and includes base minimum rent and escrows for CAM taxes and insurance that is billed monthly. The details of collections by category are provided in the COVID disclosure in the supplemental. 62% of our tenants were designated as essential and 76% of those paid April rent. This accounts for 72% of the overall April collections and we think of this amount as establishing a pool for collections going forward.Health clubs and theaters are concerned. Fortunately, our exposure is small to both. If one breaks out the large gems like 24 Hour Fitness, the combined exposure to those and theaters will be just under 4% of total rent. We’re sensitive to full service restaurants. These make up 10% of the overall rent and they paid 40% of the rent in April. It might be helpful to break to full service restaurants down a little more, 60% are local, like Mexican and Chinese food.We collected about 50% from them in April, around 30% of the full service restaurants are chains like Red Lobster and Olive Garden. We collected about 45% from the M&A. The most concern is the high-end, more expensive restaurants like Morton’s and Cheesecake. Those represent about 20% of the full service group. And we collected 20% from them in April.Most of the full service restaurant exposure is concentrated at three locations: Centre at Post Oak, River Oaks and Scottsdale Waterfront, all are great locations. In the short-term, overall rent collection is unclear. We expect May to be a little less than April. We’ve agreed to deferrals for some tenants who paid April will not pay in May.On the positive side, the company still has contractual commitments for $10 million in new lease commencements over the next four quarters. Some of these commencements will get pushed. But together with our tenants, we continue to move forward plans and construction of spaces.The new lease pipeline is leaner than in the last several years, but we still have around 80 leases and 500,000 square feet of space with an LOI that we’re negotiating leases for now. Thus for this year, we’ve renewed 72% of expiring tenants. The company remains optimistic about the future. 80% of our annual base rent comes from shopping centers with a supermarket compound.That’s more important than ever today. Not only have supermarkets been thriving during the pandemic, they’re poised for the future. 75% of our supermarkets have some sort of online component offering curbside pickup and/or delivery services, or highly diversified transformed portfolio with mostly supermarket anchors offers the goods and services consumers need today and into the future. Drew?
Andrew Alexander: Thanks, Johnny. For years, Weingarten Realty has been known as a great operator of retail real estate. While our current situation is challenging, I’m confident that we will once again rise to the occasion.A heartfelt thanks goes out to our associates who are working so very hard right now and a genuine thanks to our Board of Trust Managers who have provided constant quality feedback throughout these difficult times. Great people, great properties and a great platform equals great results. I thank all of you for joining the call today and for your continued interest in Weingarten. Operator, we’d now be happy to take questions.
Operator: Thanks, Drew. And we’ll now begin the question-and-answer session. [Operator Instructions] And from Citigroup, we have Christy McElroy. Please go ahead.
Christy McElroy: Hi, thanks. Good afternoon, everyone. Johnny, you talked about being in touch with the majority of your tenants. You’ve got deferrals with some, but you expect the larger nationals and regionals to ultimately pay rent. The question I have is sort of when, right? And for those that you don’t have executed deferral agreements with, maybe this is a question for Steve, how do you think about evaluating those for collectibility going forward?
Johnny Hendrix: Hey, Christy, good afternoon. One of the things I wanted to say is, we have great empathy for many of the retailers and tenants who are – really have no making of their own or in potentially catastrophic situation. Even those who work for large companies are trying to do the best they can. And I would say, since the middle of April, things seem to be loosening up with some of the folks. We seem to be having more businesslike discussions about what we can do going forward.I think we’re trying to be opportunistic not only help some of these larger retailers, but maybe get some loosening of some restrictions or maybe some extensions or recapture agreements. And I think that going forward, we will – most of the tenants who can pay will pay, and I feel pretty comfortable with that.
Stephen Richter: Christy, this is Steve. Good morning or afternoon. The only thing I would follow up on is, on the collectibility issue, we obviously did an evaluation as of March the 31 in terms of where we thought collectibility and took the bad debt reserve that that’s reported. I think it’s too early to tell exactly what collectibility for some of these retailers look like. And I think by the time we get through Q2 and we report Q2 numbers, we’ll have a lot more and better information. But it’s something that really trying to get our arms around exactly on a tenant basis or really on a lease basis, what that looks like is a little early.
Christy McElroy: Okay, thanks. And then, Steve, just on the dividend, the $70 million satisfies the requirement that you didn’t need to pay a special for 2019, you’re paying it this year. But just in thinking about the overall 2020 taxable income, does what you paid in the first quarter fully cover it, just like separate from the dividend or separate from the dispositions? Does it cover that? Or is there likely to be another true-up at year-end depending on how the year plays out?
Stephen Richter: No, good question, Christy. That – we entered 2020 with $121 million of obligation carried over from 2019. We paid $51 million, our normal dividend in Q1 that resulted in $70 million that was left to be paid for in 2020 for the 2019 tax obligation. So we paid what we declared the $0.18, it’s one-third of that amount, and we anticipate the – over the remaining two quarters paying the balance of that $70 million obligation.
Christy McElroy: Right. So in thinking about your – that’s covering 2019, right?
Stephen Richter: That’s correct.
Christy McElroy: And so in thinking about just your overall 2020 taxable income, does what you paid in the first quarter fully sort of cover that, right? Or will you have to pay more to cover 2020 taxable income depending on how that plays out?
Stephen Richter: It’s fully – when we paid the $70 million, we have satisfied the 2019. We obviously will generate or anticipate generating taxable income during 2020. But again, under the tax rules, we will be able to borrow into 2021’s distributions to satisfy any amount in 2020 – that we – any taxable income that we would generate in 2020.
Christy McElroy: Okay. Okay, got it. Thank you.
Andrew Alexander: Thank you.
Operator: From Bank of America, we have Craig Schmidt. Please go ahead.
Craig Schmidt: Well, thank you. I also wanted to thank you for the state-by-state mandates on your website. And that leads to the question is, as the mandates are lifting for the nonessential retailers and possibly the restaurants for dining in, what has been the customers’ acceptance of that? How comfortable are they going to these more discretionary retailers?
Stephen Richter: Craig, good afternoon. It has varied, I would say. I think, our initial experience in Georgia was pretty tepid. And I don’t think that the citizens of Georgia were prepared to fully accept. It was time to go back. It has gotten better over time. I think the way that Texas has staged the comeback has been a good decision by the governor.I’ve personally been to a number of restaurants. They seem to have fully 25% occupied. We’ve made really good use of creative outdoor dining for the restaurants. Obviously, they’ve done a great side – great job with curbside. We’re hearing anecdotally. Sometimes, they’re getting 50%, maybe 70% of the total business that they would have otherwise gotten.And so we’re super excited to see the evolution of that and how that goes for the rest of the rest of the year. Today is obviously a big day in Texas as we reopened salons, everything we’re hearing is they’re very busy. There are a number of lots of people that are here, that are there today getting their hair colored.And so we’re – I would say, it’s – the acceptance is pretty strong right now and I feel really good about it. One of our retailers is going to have a big sale over the weekend and we are expecting big crowd. So, again, we’re trying to work with them creatively and and make sure we maintain the social distancing rules. But generally, I would say, it’s been pretty good.
Craig Schmidt: Okay, great. And then on the deferrals, are you able to get any change of control issues in negotiation for the deferral?
Stephen Richter: Craig, yes, is the answer to that. It varies from retailer to retail, the amount of control that they have. Those that have control have seen that it’s in everyone’s best interest to help us redevelop some of the shopping centers. And so to loosen up on those controls, in return for a little bit of deferment, I think, is in both of our best interest. Some of the very difficult discussions may be still occurring in terms of some bigger issues.But, yes, we are – it’s been interesting to see how helpful the retailers have been and how cooperative they’ve been in giving up some of these control rights.
Craig Schmidt: Okay. Thank you.
Stephen Richter: Thank you.
Operator: From Scotiabank, we have Greg McGinnis. Please go ahead.
Greg McGinniss: Hey, good afternoon. Steve, leverage ticked up a bit from Q4. And I’m just wondering where you expect that leverage number to end up over the next couple of quarters? And then how you’re thinking about managing leverage throughout the shutdown and then once we get on to the other side of this pandemic?
Stephen Richter: Yes, good afternoon, Greg. The leverage ticked up a little bit because of the bad debt, the lower NOI number because of the bad debt adjustment, and so forth. So I mean, that was part of the pickup in leverage. There actually wasn’t – other than the debt piece, obviously, if you look at the drawing. But if you do it on a net debt basis, it did not move that much.In terms of going forward. we don’t see that, that we’re going to “lever up that much.” When you look at the development that we have left to spend, I know the supplemental shows about $90 million on the new development. The actual cash piece of that, we estimate today to be about $65 million that we have to fund through the balance of the year or really through the completion of those projects.But most of that is through the balance of this year. And then around $10 million or so for new development. So when you think about that we only have $75 million of capital, we have – of CapEx. We have no maturities. We do, as we talked about, have the $70 million to fund on the dividend piece.But from a practical standpoint, a couple hundred million dollars is not significant in terms of the balance sheet. So we don’t see our leverage really shifting that much from where we are today.
Greg McGinniss: Okay, thanks. And then, Johnny, reports on potential fallout from retailers through the pandemic are not super encouraging, especially in apparel and restaurants. I’m just curious how your watchlist has evolved through the pandemic? And what steps you’re trying to take to mitigate any potential fallout?
Johnny Hendrix: Hey, good afternoon, Greg. We – we’re concerned about it. And I think you can look and see where we collected, obviously, theaters, these high-end restaurants, the large gym that may have some issues. I’ll tell you, you can see the reflection of what our – what we did with after the COVID experience with the bad debt. So we are aware of it. It is something that we are watching everyday. We are in continual contact with our retailers and we’re trying to adjust for it the best that we can.
Greg McGinniss: Okay. And then maybe just one quick follow-up. Have you noticed any differences in your markets that may have had a stronger correlation with oil markets than others in terms of leasing interest or foot traffic?
Johnny Hendrix: No, not, not really. Most of the difference that we saw in the collection of rent was more focused on tenant type, the essential tenants obviously paid more quickly and by individual retailer, not so much that. But I will say, our transform Houston portfolio is incredibly strong. And it’s held up very nicely over the last several downturns in oil prices.The household incomes in these trade areas are $128,000 and three-mile radius, we’ve got 146,000 people. And 70% of all the rent is within five miles of the [indiscernible]. So that’s really strong. The April collections in Houston were about 58%. And that kind of makes sense when you think about what I said earlier about the higher-end restaurants at Post Oak and River Oaks. Excluding those properties, the portfolio in Houston would have right in line with the balance of the portfolio.
Greg McGinniss: All right. Thank you.
Operator: From SunTrust, we have Ki Bin Kim. Please go ahead.
Ki Bin Kim: Good afternoon. Just going back to the leverage piece, I – your – the disclosed leverage went up to 6.1 times from 5.2 times. I’m just curious, did you annualize a straight-line write-off or the bad debt reserve? I’m just trying to get to the pro forma leverage number minus accounting noise?
Stephen Richter: I – excuse me, I believe that is annualized. It’s in the supplemental. I think it’s the last quarter annualized. So it would be Q1 annualized.
Ki Bin Kim: Your leverage?
Stephen Richter: I’m sorry?
Ki Bin Kim: Well, does that include one-time accounting write-off or charges that would have caused your EBITDA to be lower when you calculate the leverage? Because I would kind of hard to imagine that your leverage went up economically by one turn in a quarter?
Stephen Richter: Well, but that – that’s what caused, it is the annualization of that – of the write-off, which created the lower NOI.
Andrew Alexander: The earnings were the actual earnings with the bad debt or the adjustment made.
Stephen Richter: The $9 million write-off was included. So yes, that’s getting annualized. That’s what caused a full one turn.
Ki Bin Kim: Okay, got it. And do you have any kind of larger thoughts about the grocery business? Obviously, grocery e-commerce has been accelerated, the adoption by all different types of people who I would have never used it in the first place. How do you think that impacts your business longer-term?
Andrew Alexander: Good afternoon, Ki Bin, it’s Drew. I’ll give you some high-level thoughts, and then Johnny can give you a little more color. It’s something that, as I’ve often said, yes, a lot of people have tried it, I still think there are some issues around the cost of it that we’ve seen. So I think over time, the – what I see is a menu of choices, where sometimes people will use and pay for delivery or a quick pick, but they will also go to the store.So our locations are very convenient with that last-mile, something we’ve been in touch with our retailers about, and we feel really good about it. So, I think we’ve seen that Johnny, I know you’ve got some more.
Johnny Hendrix: Hi, Ki Bin. I just wanted to add that, I found it incredibly interesting to think about what’s going on. I don’t think there’s any question the evolution has moved forward. But it’s the evolution of the entire omni-channel, and I think, it is unbelievable to see the number of people who flocked to the supermarkets even in the face of a virus, because that’s what they wanted to do. They had the option to do curbside. They have the option to do deliveries, and they flocked to the supermarket until.The supermarkets learned a lot very quickly. They learned better how to do curbside. They’ve learned better how to do delivery and they’re really positioning themselves to be competitive going into the future. So I think, I’m really encouraged that the supermarket-anchored shopping centers will continue to do well.
Ki Bin Kim: Okay. Thank you, guys.
Johnny Hendrix: Thank you.
Operator: From JPMorgan, we have Mike Mueller. Please go ahead.
Michael Mueller: Yes, hi. I’m just wondering from a big picture perspective, do you think there’s a high probability that the deferral strategy is going to work out as intended? Where you don’t see a significant run rate NOI diminution a year or so from now?
Andrew Alexander: Hey, Mike, it’s Drew. I’ll give you some high-level thoughts, and then Johnny can opine. I think it is one of those things that I know the phrase too early to tell has been used a lot today. I think it is one of those things. We are very, very happy with the transformation that we undertook years ago, and the quality of our locations, the reduction of watchlist tenants, and that’s where – while it is early, we have some comfort, that in most cases, we will get paid for the deferral.Obviously, we’re paying attention to our watchlist. Johnny talked about some of the concerns around theatres and some other things, the full-service restaurant is pretty manageable. We have great empathy for all the tenants and everybody that’s going through this. And certainly, when it comes to our mom-and-pops, some of our service tenants, we’ll certainly work with them. We’ve not seen a need to set up any sort of formal fund, but we we definitely will work a lot of our mom-and-pops to get them to the other side of this crisis.So, we do feel good about the transformation, but we know we’ll have some things to work through. Johnny, anything else to add?
Johnny Hendrix: Yes. Hey, Mike. I think that most of the money we’ve deferred, and I would say, even the great majority of the money we’ve deferred to date, we will collect. I would also say that a lot of the money and I don’t know if it’s half or around half is is more opportunistic in a way, where we’re getting something for the deferral from a tenant who is highly likely to pay us.So I think that benefit, when you combine the repayment of those deferrals with the benefit that we will be able to see a year or two years down the road, I think that you could say, you’ll get all of the value back. As we go forward, we may do some deferrals with some folks who may not be able to pay. I’m going to say a gym or a larger restaurant. We’ll just try to have to assess on an individual by location, by tenant basis, if there is any value in that. So I think that answer that I gave you may change next quarter.
Michael Mueller: Got it. Okay, thumbs up. Thank you.
Johnny Hendrix: Thank you, Mike.
Operator: From Jefferies, we have Linda Tsai. Please go ahead.
Linda Tsai: Hi. In terms of the higher-end restaurant chains not paying like Morton’s or Cheesecake. How has conversations proceeded as it relates to deferment? And what’s their stance on paying rent in May?
Johnny Hendrix: Hey, good afternoon, Linda. I would say the discussions are very professional. These are professional real estate people involved in the discussions. I’ve been very, very pleased with them. And I think that, we’ll work something out. Whether or not we get any money in May, I’m uncertain. I think, with these guys, Cheesecake Factory, will be able to figure something out and I think we’ll get reimbursed for the money that we defer.
Linda Tsai: Thanks. And then, the proactive streamlining of your portfolio has enabled you to be less impacted by retailers store closures versus your peers, as more retailers start filing and restructuring. Would you consider calling your portfolio further to manage risk?
Andrew Alexander: Yes. Linda, it’s certainly – it’s Drew. Good afternoon. It’s certainly something that we look at. We have improved a lot of things with the transformation over a number of years, but it’s certainly something that we would continue to. We’ve had some inquiries. There seems to be perhaps a little bit of market still out there, but it’s being stabilized and people can – a lot of it has slowed down.Transaction activity is just the physical nature of inspections and tenant visits and surveys, et cetera. As things loosen up, it is certainly something that we would look at. So, made a lot of improvements, but would obviously, always keep a fresh eye as we get to the other side of the pandemic.
Linda Tsai: Thank you.
Operator: From Capital One, we have Chris Lucas. Please go ahead.
Christopher Lucas: Good afternoon, everybody. Hey, Johnny, on the renewal rate number you provided the 72% for first quarter. How was that compared to a year ago? And how was that compared to what you were budgeting when you came into 2020?
Johnny Hendrix: Good afternoon, Chris. I would say, it’s about the same. We are, I would say, always very proactive, trying to get renewals done as quickly as possible. The environment with leverage with the landlord negotiating renewals has been pretty good up until now. We do have about 30% of our renewals completed for 2021. So, we’ll find out how that goes on down the road.
Christopher Lucas: Okay. And then on the deferrals you did, I appreciate the – some of the context. I guess, I’m just trying to figure out if we collected 64%% of rent, how much does the deferral roughly represent? And then what sort of the uncollected non-deferral percentage look like?
Johnny Hendrix: My recollection and Michelle can help me on this. I think we deferred a total of about $4 million in the month of April.
Michelle Wiggs: Right.
Christopher Lucas: Okay. And then I guess, as it release to – go ahead, Michelle.
Andrew Alexander: Go ahead.
Christopher Lucas: Okay. And then as it relates to the 64% that was collected, were there security deposits that were applied to that? Or is that just pure payment?
Johnny Hendrix: No, we did not apply any security deposits to any of the rent we collected.
Christopher Lucas: Okay, great. Thanks. That’s all I have.
Andrew Alexander: Thank you.
Operator: [Operator Instructions] And from Compass Point, we have Compass Point. Please go ahead.
Floris van Dijkum: Thanks for taking my question, guys. Steve, could you remind me what your cash rent break-even is before CapEx and after your leasing costs?
Stephen Richter: Good – excuse me, good morning, Floris. Based upon our projections that we have done, we’re sitting at about a 50% cash collection. That’s in, I guess, sometimes you have to define what that really means. But that’s – for us, that’s paying all of our operating expenses, the normal debt service that we may have, including all interest and then G&A – our actual G&A costs. So that number is – that is exclusive of CapEx. So the capital that I talked about earlier relative to the new development, et cetera, that would be in addition to that.
Andrew Alexander: And I think this is right, Steve, that’s the current G&A, current expenses, et cetera, which in that kind of world would be trimmed.
Stephen Richter: That’s correct.
Floris van Dijkum: Great. And then in terms of – as you – I know it’s very early, but where do you see opportunities as you – obviously, you came into this crisis with a very strong balance sheet, where do you think you’re going to see some of the best opportunities? Is it going to be market-specific? Is it going to be property-specific? Or how do you look at the world?
Andrew Alexander: Hi, Floris, good afternoon. Yes, as you say, it is quite early. We have had some conversations around that. I would say, our – some of our growth guys are chomping at the bit to get back to it, as Johnny said, that’s been very helpful in terms of the collections efforts and reaching out to tenants.So yes, we would certainly be open to a lot of different things. We do like our geographic footprint, the Southern and Western United States, I would say our main focus would be to continue to infill the densely populated suburban markets where we are from Washington D.C. to Seattle, Washington, and become even more of a player in those markets.That said, if the right opportunity came along to expand our geographic footprint, we’d look at it. But we are very comfortable with it. Certainly like the supermarket-anchored center, want to stick with that significantly. So it is something that we would certainly consider when the time is right. But as you said, it’s a little early to be spending too much time on specifics there.
Floris van Dijkum: And, Drew, maybe just a quick follow-up on that. Obviously, you’ve had some very strong institutional partners in the past as well. Are you sounding them out a bit about appetite? Or what are you hearing from them about appetite potentially to take advantage of some of the distressed situations?
Andrew Alexander: Yes, it’s something that we would look at case-by-case. We do have, as you say, great relationships with lots of different institutional folks. So it’s certainly something that we would consider. But as we said, it’s early. So, been very general conversations at this point.
Floris van Dijkum: Thanks, Drew.
Andrew Alexander: Thank you.
Operator: And from Wells Fargo, we have Tammi Fique. Please go ahead.
Tamara Fique: Hi, good afternoon. Just wondering if you have a sense for the success of your tenants in the government assistance program? And I guess, you see Weingarten stepping in at any point to extend loans to tenants?
Johnny Hendrix: Hey, Tammi, good afternoon. Like I say, we’ve been talking to them. I would say, it’s been pretty good. I wouldn’t say it’s been 100%. A lot of folks have initially had some trouble getting connected with the right bank. And they had to be at a new bank. And so they kind of got pushed into that second wave. So a lot of that money is still coming in. We did get paid today by a tenant who received theirs, and we had deferred some rent. They said, that’s okay, we’ll go ahead and pay you now.So I would say, it’s been mostly a really good story. And what was the second part – oh, the loans, yes. No, we are not anticipating doing any loans other than, if you would call a deferral loan, but that’s not something we’re moving forward on today.
Tamara Fique: Okay, great. Thank you. And then have CAM collections trended similar to rent collections in April?
Johnny Hendrix: Yes, yes. So I would say that the tenants who pay monthly CAM are about the same. So the national tenants generally will pay some monthly CAM, but a lot of their CAM is paid at the end of the year also. So, from that perspective, it might be a little bit different.
Tamara Fique: Okay, thanks. And then my last question, are you seeing any opportunities to trend property level expenses at this point? Are you running a pretty lean ship as it is?
Johnny Hendrix: Tammi, that’s a great question. We looked at every property, and we looked at where we could reduce the sweeping, security, trash pickup. Most of our shopping centers are anchored by supermarkets who are very busy, and we still need to maintain the landscaping.So it was not a big number. But we are laser-focused on being able to do that. We did look at reducing capital costs and maybe we’ll put a painting off till next year and see how things are going. Anything that needed to get done, roofs, sidewalks, that kind of work, we definitely continue to work through.
Tamara Fique: Okay, great. Thank you.
Johnny Hendrix: Thanks, Tammi.
Andrew Alexander: Thank you.
Operator: Thank you. And we’ll now turn it back to Drew for any closing remarks.
Andrew Alexander: Thank you, Brandon. I really appreciate everybody’s time and attention. I know it was a very busy day in the cycle and very busy for all of you. So thanks so much for your interest. We are around if other questions. I want to wish everybody on the call and all their families and friends best with this and every – all the best wishes to our associates, tenants, consumers, the broader communities. This is a very tough crisis and my heart goes out. I’m empathetic to everybody having to deal with it. So, thanks, again, for your interest in Weingarten. We appreciate it, and have a great day. Have a great weekend and thanks so much.
Operator: Thank you. Ladies and gentlemen, this concludes today’s conference. Thank you for joining. You may now disconnect.